Operator: Greetings, and welcome to the MRC Global’s First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Monica Broughton, Investor Relations for MRC Global. Thank you, Miss. Broughton. You may begin.
Monica Broughton: Thank you and good morning, everyone. Welcome to the MRC Global first quarter 2020 earnings conference call and webcast. We appreciate you joining us today. On the call, we have Andrew Lane, President and CEO; Kelly Youngblood, Executive Vice President and CFO; and Kelly Youngblood, Executive Vice President. There'll be a replay of today's call available by webcast on our website mrcglobal.com, as well as by phone until May 13, 2020. The dial in information is in yesterday's release. We expect to file our quarterly report on Form 10-Q later today and it will also be available on our website. Please note that the information reported on this call speaks only as of today April 29, 2020 and therefore you're advised that information may no longer be accurate as of the time of the replay. In our remarks today, we will discuss adjusted gross profit, adjusted gross profit percentage, adjusted EBITDA and adjusted EBITDA margin. You're encouraged to read our earnings release and security filings to learn more about our use of these non-GAAP measures and to see a reconciliation of these measures to the related GAAP items all of which can be found on our website. In addition the comments made by the management of MRC Global during this call may contain forward-looking statements within the meaning of the United States Federal Securities Laws. These forward looking statements reflect the current views of the management of MRC Global. However, the MRC Global's actual results could differ materially from those expressed today. You are encouraged to read the company’s SEC filings for a more in-depth review of the risk factors concerning these forward looking statements. And now, I'd like to turn the call over to our CEO, Mr. Andrew Lane.
Andrew Lane: Thank you, Monica. Good morning and thank you for joining us today and for your continued interest in MRC Global. Today I will discuss some of the more pressing topics, review the company's first quarter 2020 highlights, as well as our progress against our strategic objectives. I'll then turn over the call to our CFO, Kelly Youngblood for a detailed review of the financial results. First, let me address some of the critical items that are top of mind. As the leading distributor of pipe, valves and fittings to the energy industry we are well positioned to navigate this most recent set of challenges and emerge as stronger company. While we are experiencing unparalleled demand destruction from the COVID-19 pandemic, oversupply exacerbated by the recent oil price war, and now storage capacity constraints, we are not new to cyclical downturns and we know the levers to pull. We are a critical supplier to the energy industry and as a distributor we have counter cyclical cash flows, a strong balance sheet and sufficient liquidity even under extended stress scenarios. Our liquidity is $465 million in the second quarter. We expect to generate significant cash from operations this year. Our debt is appropriate for our business with favorable terms and no near term maturities. However, debt reduction is my top near term priority. And in the first quarter we bought $3 million of interest in our Term Loan B at a 23% discount. We reduced overall gross debt by $30 million since the year end 2019. Our cash flow generation this year is expected to be adequate to pay down our ABL and then leaving our nearest debt maturity our term loan at September 2024. Given the expected decline in revenue this year we believe we will generate in excess of $200 million in cash from operations. After deducting our preferred dividend and capital expenditures at those cash flow levels, we should generate free cash flow of over $160 million. While we are making some significant changes with respect to our cost structure, our long-term strategy is the same. We continue to execute against that strategy to increase market share, maximize profitability and maintain working capital efficiency as well as optimize our capital structure. Let me continue with some comments about our first quarter results which were solid despite seeing the early effects of demand destruction from COVID-19 in the latter part of March. Our revenue grew 4% sequentially, and our adjusted gross margin for the quarter was 19.8%, which was a 70 basis point improvement over the fourth quarter. This improvement reflects the benefit of our higher margin product mix strategy, as this quarter we achieve 41% of sales from our valve, measurement and instrumentation or VAMI product category. That is the highest percentage our VAMI product category has been in our company history. We also generated $37 million in cash from operations in the first quarter. As previously mentioned, we expect to generate healthy cash from operations this year as we reduce our working capital. We're committed to providing our customers exceptional service and delivering value to our shareholders, regardless of the economic conditions as we continue to execute our long-term strategy. Next, I'll address the disruption caused by the global pandemic COVID-19. The pandemic and related mitigation measures have created significant volatility and uncertainty in the oil and gas industry. Oil demand has significantly deteriorated as a result. The unparallel demand destruction has resulted in lower spending by customers and reduced demand for our products and services. There is significant uncertainty as per duration of this disruption. So we are positioning ourselves for a challenging environment in the foreseeable future and taking proactive measures to optimize our cost structure. As a critical supplier to the global energy infrastructure and designated essential provider, we remain operational with no closures to our facilities. We have had only four employees test positive for COVID-19 globally, two in Norway, one in the UK, and one in New Jersey. And I'm happy to say that all four recovering. We have also implemented various safety measures for employees including remote working for those whose jobs permitted, which covers about 60% of our total workforce, and nearly all of our corporate employees. We've also staggered shifts at our warehouses with remote social distancing, and are providing personal protective equipment, as well as additional deep cleaning at our facilities. From a supply chain perspective, we have seen the effects move around the globe as the pandemic spread. Early on, we saw several of our Chinese suppliers, who produce commodity valves and parts operated at a reduced capacity or stopped production. As China has recovered, those suppliers have returned to near pre-COVID production capacity levels. Most recently, the impact has been seen in Italy and Spain where more specially valves are produced and operations have slowed or halted. Given our inventory position and reduced demand, we have fulfilled orders with little disruption, even so the longer the shutdowns continue the more order fulfillment risk we have. Now let me outline our observations of the markets in which we operate and the actions we are taking. The oil market is experiencing an unprecedented price collapse and a severe reduction in activity levels. Our customers have reduced their capital spending budget significantly and some multiple times as the market continues to evolve. Every one of our sectors will be impacted, but it is still difficult to project the full magnitude until we see energy demand begin to normalize. For example, as demand has declined half of all Gulf of Mexico projects and refinery turn around, originally scheduled for the spring were delayed to the fall or later. While we took cost reduction efforts last year, given the significant deterioration in the market, and expectation it will continue for the foreseeable future, we're taking additional measures optimize our cost structure, including the acceleration of our ecommerce initiatives, headcount reductions and the closing of facilities. More specifically, we reduced headcount by 73 and we closed two facilities in the first quarter. We have plans to further reduce headcount by over 200 and to close an additional 14 facilities in the second and third quarters. We also expect the further lower SG&A by reducing certain Employee Benefit programs, including bonuses and other incentive awards. We will selectively furlough personnel until activity returns to acceptable level. With all these actions, we are projecting at least an 80 million annual reduction in SG&A from 2019. Our ecommerce platform MRCGO is a robust comprehensive digital tool. We continue to move customers to interact with us digitally to improve our service to them and reduce cost structurally over time. We're committed to this solution and designated an executive to lead this change and accelerate adoption of digital interaction particularly for certain customers to lower our cost to serve. Currently 29% of our total revenue and 43% of our top 36 North American customers is generated through ecommerce. We expect these percentages to continue to increase over the next two years. Regarding our working capital initiatives, we are increasing our focus on consolidating inventory into our regional distribution centers to ensure redeployment to better match demand points, and drive down our working capital. We are focused on what we can control and continue to execute swiftly. We expect net working capital as a percentage of sales to be 19.5% to 19.9% in 2020. We expect our actions can position us to remain at strong position to take advantage of the eventual market recovery. We also continue to drive market share gains by obtaining expanding multi-year MRO contracts with customers. This quarter we were awarded new enterprise framework agreements with Noble Midstream for their MRO pipe, valve and fittings, and with Total for valves in Europe and West Africa. In addition, we were awarded a contract with the US gas utility Ameren and renewed a contract with another gas utility Eversource, which adds additional scope. Growing market share, especially in a shrinking market is an important strategic objective for us. And we have a proven track record of achieving this in previous downturns. As we navigate this downturn, we are focused on our long-term strategic objectives, delivering superior service to our customers and delivering value to our shareholders. Once the economy recovers and it will, we will be an even stronger company well positioned as the pipe, valve and fitting market leader to take advantage of the new opportunities. I'll turn the call over to Kelly to cover the financial highlights for the quarter.
Kelly Youngblood: Thanks, Andrew and good morning everyone. Total sales for the first quarter of 2020 were 794 million, which were 18% lower than the first quarter of last year, with each of our geographic segments reporting a decline in year-over-year comparisons. Sequentially, from the fourth quarter of last year, revenue increased 4% higher than our original expectations driven by the US gas utility sector. All sales were negatively impacted by the COVID-19 pandemic towards the latter part of March. US revenue was 638 million in the first quarter of 2020, 18% lower than the first quarter of 2019, with declines in all sectors led by upstream production, followed by downstream and industrial and then the midstream pipeline sector. US upstream production sales were down 33% in the first quarter of 2020, over the same quarter in 2019 due to reduced budgets and increased capital discipline by our customers. The US downstream and industrial sector revenue was lower by 19% in the first quarter due to non-recurring project work. And the US midstream pipeline sector revenues declined 17% due to reduced customer spending and the timing of certain projects. The US gas utility sector declined 2% primarily due to declining activity levels from one customer in bankruptcy and the timing of project deliveries. Canadian revenue was $50 million in the first quarter of 2020, down 26% from the first quarter of last year, as the Canadian upstream production sector was adversely affected by uneconomic oil prices, a lack of takeaway capacity and government imposed production limits as well as the Canadian gas utility sector, which was lower due to a non-recurring pipe delivery. International revenue was 106 million in the first quarter of 2020, a decline of 14% from the same quarter a year ago, driven primarily by the conclusion of the Future Growth Project for TCO in Kazakhstan. Weaker foreign currencies relative to the US dollar also unfavorably impacted sales by approximately $6 million. Now, let me summarize the sales performance by sector. First, I'd like to highlight that we are now providing you with additional revenue detail by reporting separately what was formerly known as our midstream sector in two distinct sectors, midstream pipeline and gas utilities. This will provide more transparency as the drivers between these two markets are significantly different, which I'll describe later. You will find two years of historical data in yesterday's press release. The upstream production sector first quarter 2020 revenue decreased 29% from the same quarter last year to 222 million. Declines were across all segments led by the US which was down 67 million or 33%. The largest reduction was in the Permian Basin where sales declined 43%. As a reminder, this sector represents only about 28% of our total revenue, which is important to note because this market is expected to receive the highest impact of customer budget reductions. Midstream pipeline sales, which are primarily US focused were $119 million in the first quarter of 2020, a 19% decline from the same quarter in the prior year. This sector represents 15% of total revenue and consists of transmission and gathering customers. Sales can vary quarter-to-quarter, due to the timing of deliveries, typically large pipe orders. There is a strong correlation between this sectors results and our upstream production business although typically with a one to two quarter lag. Gas utility sales were 202 million in the first quarter of 2020, 6% lower than the same quarter a year ago. The decline was driven primarily by lower activity levels from one specific customer currently in bankruptcy as well as the timing of deliveries. This sector which is now 25% of our overall revenue is largely US based and driven by long-term, ongoing integrity management programs across the US, as well as new housing and business construction. We provide gas products such as polyethylene pipe and gas meters with related products to these customers. Since 2006, we have seen steady growth in the sector with a compound annual growth rate of 10%. Approximately two thirds of our integrated supply revenue is with gas utility companies. Sequentially, the gas utility sector increased 12% primarily due to seasonal purchases and timing of deliveries. Because of the sector is not tied in any way to commodity prices, it will be helpful in reducing the volatility to our overall revenue stream. In the downstream and industrial sector, first quarter of 2020 revenue was 251 million declining 15% from the first quarter of last year, driven by the US segment, due primarily to non-recurring project revenue in 2019. Now, turning to margins, our gross profit percent increased 70 basis points to 18.6% in the first quarter of 2020, as compared to 17.9% in the first quarter of 2019. The improvement reflects the benefits of lower project revenue, favorable product mix and a benefit from LIFO expense in the current quarter. LIFO income of 3 million was recorded in the first quarter of 2020 as compared to no LIFO income or expense recorded in the first quarter of 2019. Adjusted gross profit for the first quarter of 2020 was 157 million or 19.8% of revenue as compared to 190 million and 19.6% for the same period in 2019. The items noted above impacting gross profit percent with the exception of LIFO also favorably impacted adjusted gross profit. Line pipe prices were lowered in the first quarter of 2020 over the same quarter in 2019 due to reduced demand. Based on the latest Pipe Logix index, average line pipe spot prices in the first quarter of 2020 were 19% lower than the first quarter of 2019. Relative to the fourth quarter of 2019, average line pipe prices were 2% lower in the first quarter of 2020. Line pipe prices are expected to continue to decline throughout the year, which should result in further LIFO income in 2020. SG&A cost for the first quarter of 2020 were 126 million or 15.9% of sales as compared to 139 million or 14.3% of sales in the same period of 2019. This $13 billion reduction is a result of cost reduction actions taken last year that are now fully embedded in our run rate in 2020 as well as some recently implemented Employee Benefit reductions. Given the current economic environment, we are taking additional actions in the second quarter as previously mentioned by Andrew and we will see the benefit of these cost reductions in the second half of the year. SG&A this quarter included $6 million of bad debt expense, higher than our historical run rate. Approximately half of this expanse relates to customers that have recently begun bankruptcy proceedings. In prior down cycles our bad debt expense has not been very significant and we expect this cycle to be no different. We are very fortunate that the majority of our receivables are with high quality investment rate customers with solid balance sheets Interest expense totaled $8 million in the first quarter of 2020, which was $3 million less than the first quarter of 2019 due to lower average debt levels and interest rates. Our effective tax rate for the quarter was 36%, which is higher than average due to a discrete tax charge related to our share based compensation plan. Excluding this impact, the effective tax rate would have been 29%, which differs from the US Federal statutory rate of 21% as a result of state income taxes and different foreign income tax rates. Net income attributable to common shareholders for the first quarter of 2020 was $3 million or $0.04 per diluted share, as compared to the first quarter of 2019, which was 12 million or $0.14 per diluted share. Adjusted EBITDA in the first quarter of 2020 was 34 million versus 56 million for the same quarter a year ago. Adjusted EBITDA margins for the quarter were 4.3% versus 5.8%, for the same quarter last year, driven by declining sales volumes. However, EBITDA decrementals on a trailing 12 months were 15%, which is in line with expectations and historical averages. All three of our segments generated positive adjusted EBITDA this quarter. Our working capital at the end of the first quarter of 2020 was 701 million, 31 million lower compared to the end of 2019. Excluding cash as a percent of sales our working capital on a trailing 12 month basis was 19.3% at the end of the first quarter of 2020, better than our target. We were taking actions to keep this ratio lower than our original target of 20% by aggressively managing the working capital balances. We expect net working capital as a percentage of sales to be 19.5% and 19.9% in 2020. We generated 37 million of cash from operations in the first quarter of 2020. And as Andrew mentioned, because of our counter cyclical nature, we expect to generate strong free cash flow this year. Capital expenditures were $2 million in the first quarter of 2020. While our business is not capital intensive, we are prudently managing these costs while continuing to spend what makes sense for the future of the business, such as our ecommerce initiative. Our debt outstanding at the end of the first quarter was 521 million, compared to 551 million at the end of 2019. Our leverage ratio based on net debt of 493 million was 2.7 times within our stated target range of two to three times. While this ratio could increase throughout the year, our debt is very manageable, and our cash flow profile will allow us to generate strong cash flow with a target of reducing the ABL balance to zero. The availability on our ABL facility is currently 437 million and we had 28 million of cash at the end of the first quarter. Although our liquidity may fluctuate each quarter from changes in cash flow and working capital, we fully expect average liquidity for the year to remain at these similar levels. We currently have no financial maintenance covenants in our debt structure. We have one springing covenant in our ABL that becomes applicable should our availability approach the final 10% of capacity. But we do not envision getting anywhere close to this threshold even under extended stress scenarios. During the quarter we also repurchased $3 million of our term loan facility at a 23% discount to par in the first quarter. We plan to remain opportunistic when we have the ability to repurchase our debt at a significant discount to par. Again, debt reduction is our priority this year and where we will focus our free cash flow generation. Our backlog at the end of the first quarter of 2020 was 479 million, $30 million lower than the end of 2019 due to fewer projects and the recent declines in customer spending levels. However, the backlog for US gas utilities was up 22% in the first quarter of 2020 above the end of 2019 as those customers are expected to continue their planned spending, albeit somewhat delayed due to COVID-19 impacts. Given the extreme uncertainty and volatility in the market, we have chosen not to provide any specific annual guidance, except for the items we control. These items include SG&A and working capital reductions as well as our focus on paying down our ABL balance this year, leaving only our term loan, which is due in September of 2024. Also due to the challenging headwinds that we expect for the remainder of the year, we are targeting a Q4 SG&A exit run rate of no greater than 110 million resulting in an annualized improvement of approximately 90 million, excluding the impact of any severance or restructuring charges. The majority of actions to achieve this target will take place in the second quarter. In summary, our first quarter 2020 was a solid quarter given the many market challenges we faced. However, our near term expectations are for a weak energy market in the second quarter. However, with our current available liquidity, very low capital requirements, and our ability to generate strong free cash flow in a declining market, we feel well positioned to take on the current market headwinds. We are facing these challenges head on and are positioned to take advantage of any opportunities and we will emerge an even stronger company when the market recovers. With that, we will now take your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of James West with Evercore ISI. Please proceed with your question.
James West: Hey, good morning guys.
Andrew Lane: Hey, good morning, James.
James West: So Andy and Kelly, I want to ask the macro question first and then I want to dig into the MRC a bit, but you guys have seen a fair number of downturns as have I and our careers here. This one feels different. It feels harsher. It feels like it may have some legs to it. How are you guys thinking when you take these strategic actions with MRC? How are you guys thinking about the depth and the longevity of this downturn?
Andrew Lane: Yeah. James, thanks for joining us and let me take that question. Yeah, I mean, like you and many probably before you I started in 1982. So for last 40 years I've seen every cycle we've gone through. And this one is difficult. You add a health crisis on top of a macro oil price crisis. And the two together are pretty significant. So I would say we've been through many oil and gas price corrections over the 40 years, but we've never dealt with the health crisis on top of it. So it does feel differently to me from previous ones. The way I look at it is it may go a few months longer than people think. But it won't go forever on the quiet health crisis side. It's going to take a few quarters if not longer for the supply and demand correction to on the oil price side to correct. So we're in a leading position. We're in a very strong contract position with our customers. So those are the priorities. We're protecting our employees. Our model as you know James very well, we're not an oil field service model. Oil field service, high personnel, high capital equipment, fixed cost, high R&D technology cost, very hard to change that model on the short term, we're significantly different than that. We have a very liquid asset with inventory. So we can pull a lever very easily and liquidate inventory and produce a lot of cash. So we've always been counter cyclical when things slow, even more than we think at times. We have a very liquid asset to generate cash, pull down the inventory. We have very flexible personnel structure. So what we've done on this one is we have many customers that we are still very active and want our service and need our service. So when times are good, we run into shifts, because activity is high. The way you've been able to adapt our model very quickly when the coronavirus and COVID-19 hit to change, to split shifts, stretch out our branch personnel, space out our warehouse and our regional distribution centre personnel. So we and in more call the corporate group and the support groups from home. So our model fit very well to adapt to this environment. So that's how we're looking at it. We're going to use furloughs in the next couple of quarters more than we'll have some reductions, primarily in the upstream side of our business where we see it's a longer term recovery. But in other parts of our business, where we think it's more of a short-term, health impact, economy – generally economy impact, we're going to furlough so that we bring them back – all employee base quick as things return, so that – we could talk a long time about that, but that's what we've done. And I agree with you, James, it feels different, but we're changing things quickly in the company.
James West: Understood that's very helpful Andy, I appreciate that. And so I guess my follow up is, as you think about strategy right now, clearly a little bit of deepened cost control, debt pay downs. But when do you plan to become offensive? There's going to be a lot of opportunities out there for M&A in the very near term, particularly in the upstream side, which is going to get somewhat decimated in the next few months. When do you think your strategic view kind of shift towards focusing on that rather than just see, okay, let the bug don't happen?
Andrew Lane: Yeah, James, the near term priority is about down the hatches. And for me, I don't have M&A in the near term view. Like we said, my priority right now is pull the levers that we know, adjust the cost and both operating cost and the fixed cost and the inventory structure, pay off our ABL, which we will do by the end of the year. So put the company in a strong position. So we have no near term maturities. We'll have no debt maturities till September 2024. And people that think we are in a debt crisis are just wrong about our model. So we'll have a very good runway unless you think COVID-19 is going to be around in 2024, we're going to be in very good shape. So it allows us to – we don't need any new debt. We don't have any short-term debt payout allows us to be aggressive on the contract. But our offensive moves, which we've continued, have been more on market share gains and contracts and we talked about Eversource picking up additional scope and winning that contract. We didn't give the details, but it's a 10 year contract at around 50 million a year, so very good. Total, five year contract with 10 million growth and Noble and Ameren were smaller. So we've got two gas utility wins, a midstream win, an international IOC type of valve win, so our – and then last quarter we talked about CenterPoint, which is the huge – the CenterPoint vectoring combined business, we're ramping that contract up so that in normal times, that's more like a 70 million a year contract more like 50 this year. So and that's also gas utility. So we're very much offensive when any contract comes up, very much offensive, as Kelly mentioned, and continuing that compound growth of 10% a year in our gas utility business. And we split that out so that you had a very clear view if you have concerns about the midstream pipeline, which will slow more dramatically this year. Our gas utility now is very visible. We gave the financial for the last two years. And now we'll continue to spend more time talking about that model. So that's both gas utilities and general MRO contracts. And of course our valve strategy is key to the company winning a lot more midstream valve contracts because of our investment in the facility there. Those in my mind are all very offensive moves, but without the need for M&A.
James West: Okay, understood. Thanks Andy, it's very helpful.
Andrew Lane: Thank you, James.
Operator: Our next question comes from the line of Sean Meakim with JP Morgan. Please proceed with your question.
Sean Meakim: Thank you. Good morning.
Andrew Lane: Good morning, Sean.
Sean Meakim: Andy, I appreciate the guidance you put out with respect to cash from operations and free cash flow. The 140 million of inventory, liquidation is a big driver, can you maybe just put some parameters or ranges around receivables getting converted to cash and just how you see that the overall cadence of cash flow as we go through 2020?
Andrew Lane: Yeah, Sean, Kelly will address that one.
Kelly Youngblood: Thanks, Sean. Yeah, it's a good question. If you look, I mean, obviously, we gave the inventory number, so pretty easy to factor in that part, the working capital change. When you look at receivables, I mean, obviously with revenues coming down receivables are going to come down as well. But if you look at the working capital change overall, while we've kind of plugged into our model is the amount that received – the pickup you get the working capital from the receivable side coming down, we're just kind of assuming that that will be somewhat offset with accounts payable, the pullback in PV, which will be a decline which will work against that number. I think in reality, we're probably being a little conservative on that because we've got a lot of initiatives in place with some of our suppliers right now to push these payable how farther. But if you look at the kind of split overall and the 200 million that we got into for cash flow from Ops you can probably assume a quarter to two thirds of that is going to be specific to the inventory change. And, and the remainder is really just the normal change in operating activities and the cash flow statement.
Andrew Lane: Yeah, Sean, let me just add to Kelly's comments, I think he covered it really well. But on the working capital, couple of things have happened. Of course, we'll have as we mentioned, we've closed two facilities, which are significant for us as size wise in the first quarter, and then we'll close another 14 facilities in the second and third, most of them in the second quarter and a couple in the third quarter. We've also spent a lot of time given the challenges we're facing is really analyzed and the inventory we have both at our fulfillment centers or regional distribution centers in the branch footprint and with slower activity at less need for safety stocks or daily use stocks at the branch level. So we've done a lot of analysis to optimize that. In the first quarter, we've identified 20 million up front that we can pull out of the branches that better serve that regional distribution centers. We'll have more savings from looking at that as we've closed 14 additional branches and optimize around the region distribution centers, we have already in place. So I think there's a – part the working capital is pulling down because of slow activity. But we're also I think, taking steps because of this downturn, to even further optimize our whole operating structure, especially in the US to be more efficient. So I see some of those gains in working capital efficiency and that's why we've got to dial in from our previous 20% of working capital as a percent of revenue to 93 to – I mean 95 to 99. But I think a good chance will be on the low end of that range, because we're bringing more efficiency into the model.
Sean Meakim: Got it, that's very helpful. And the second quarter is taking a pretty dramatic drop off an activity, particularly in the upstream and parts of downstream, just given some of the acute pressures in North America. Can you give us a sense of what you're seeing as we're just about a month into the quarter across your segments?
Andrew Lane: Yeah, Sean, so just to recap a little bit, the quarter – first quarter was a solid quarter for us that March was the best month of the quarter. So I don't want to say we were able to function very well, even given the COVID-19 challenges because of the way we could adapt to our model through social distancing and spacing in our operations and quickly moved some people from home. So there was demand there. And also, we're going to perform much better than the small competitors through this cycle and they're less adaptable because they don't have our scale. So it was – the quarter was good and shaped up – except for the Coronavirus, impact it would have shaped up just nicely the way we envisioned the whole year starting with a tail off last year in November, December that carried into January and February, and then March looked a lot like October from last year. So that's how I envisioned the first quarter is going to be in a normal world. It would take off from there. Of course we don't have a normal world. So it's it drops significant and I think the second quarter is going to be very challenging from a revenue standpoint. We mentioned the half of the Gulf of Mexico projects and turnarounds were pushed which were normally be here in this March, April timeframe into the fall. Its concerns about well pricing and refining the utilization should stimulate turnaround. But then the COVID problems were putting large construction groups together. It's not that we can't deliver the product to do the turnarounds. It's the construction phase and the exposure there, so a half of that got pushed into the fall. So those kinds of things and of course, upstream is really reacting to low oil and gas prices and the rig count drop, so those two are compounded. So I mean I expect the second quarter to be difficult. April would be down 20. If you average the revenue for the first quarter, April will be down 20% to 25%. We don't have good visibility. I can't give you real good guidance for the quarter. Things are starting to open up in a small way in Texas, which will open up some in the industry in May. But we really don't have great visibility even on May and June revenues at this point. And we really lack a lot of visibility into the second half. So I think we're at a low point here, and we'll see how things recover going forward. But that's best I can give you at this point, Sean.
Sean Meakim: Understood, thanks Andy.
Operator: Our next question comes from the line of Vaibhav Vaishnav with Scotiabank. Please proceed with your question.
Vaibhav Vaishnav: Hey, good morning, guys. And thank you for taking my question.
Andrew Lane: Good morning, Vaib.
Vaibhav Vaishnav: Good morning. Can you talk about what you're seeing in terms of pricing pressures, if any and how should we think about gross margins as we go through the year, obviously, first quarter was pretty strong, but if you can talk about where we can exit for the year, that would be very helpful.
Andrew Lane: Yeah, Vaib, let me start and Kelly can add some comments. The first quarter was strong. And it was in line with where we ended last year what we expected. We mentioned that we've now achieved 41% of our revenue from our VAMI or valve business line, which, of course supports higher margins. And that's even with the disruptions from both China and Italy and Spain in deliveries. We still feel very good about the year for the valve outlook for business, because we're a supplier that our customers can come to with deep inventory in valves and there's a lot of supply chain disruption that we won't experience because of our ability to carry that inventory level. So I think that's on the positive side supporting the higher margins will be a strong valve business and I feel very good it will end the year at 405, 42% of our revenue from valves. So that's the positive side. The negative side, line pipe will be impacted further. You think about line pipe prices from a year ago when we were kind of at the end of the inflationary environment were down a little over $300, $330 a ton. Line pipe went down spot pricing around $50 a ton in the first quarter. So line pipe as a business will come under the most pressure from pricing. And that's expected in this environment. And then of course, like in '15 and '16, like in '09 and '10, these crises lead customers that have a lot of impact on their cash flow which we understand. They need to look for ways to save money, so there is pricing pressure from that standpoint, in the near term to get them through to – when they have a higher cash flow. We normally work best at that by finding alternative lower cost product form and delivering that, but certainly there'll be margin pressure this year. But we still feel good about the position we're in, a very strong position in gas products, so you don't see the pressure there. A strong position in stainless specially just lower demand, very strong position in valves and then you're going to see the general products in that are mostly upstream line pipe specifically is going to come under pressure and then some general pressure on contracts as we try to help align with our customers going through this. But Kelly maybe can give you some more on the color of the actual amounts.
Kelly Youngblood: Yeah, the only thing I would add Vaibs is if you looked over kind of the life of MRC and look at margins over time. Even in the worst times they may get down to kind of an 18% type level, but they always stay in kind of 18% to 20% because Andy just kind of pointed out some of the other comments that were not your typical OFS type company where margins fluctuate 20%, 30% from the top of the cycle to the bottom of the cycle. Here they remain very consistent over time. And so because of that yeah, you see some pressure, obviously, on pricing and the margin impact, but not to the same extent that you would see with other type of companies.
Vaibhav Vaishnav: Okay, and maybe switching the topic a little bit, and maybe it's a little too early, if you have though that, but any changes that you have heard or think about what could come on the longer term of cause chemical projects because of the economy.
Andrew Lane: Yeah, Vaib, so we haven't heard much from that. I mean, you could say – well, there's got to be a much lower demand for plastics and the products related to chemical history as the general economy is slowed down or through a recession, but we haven't seen that as the driver. Kind of on the flip side, the big your plus side is we're still below two bucks. And I mean, these are used for gas, so feed stocks very competitive still. And I just don't see that really impacting the decision. They may push out some ramp up of additional capacity. But the chemical install base, the MRO work we do with both chemical and petrochemical. I think that stays whole. And maybe just some of the additional spending, especially in the Gulf Coast that we thought would occur kind of in this 2021 timeframe, maybe moved out a little bit, but nothing specifically has been talked about due to kind of global slowing demand.
Vaibhav Vaishnav: Okay, and maybe if I can ask a quick one. Kelly, if you can talk about cash taxes. I think like last year, cash taxes were around 35 million. How do you think about cash taxes this year, is call it 15 million to 20 million a good ballpark number for this year or it’s too high?
Kelly Youngblood: I think that's too high Vaibs, like you said it was around 34 million, 35 million last year. But this year with the business falling off and just other things we're doing around tax strategy. We'll pay some taxes, but I think our current forecast is showing let's say 5 million give or take somewhere in that ballpark, so not a big number at all.
Vaibhav Vaishnav: Very helpful, thank you for taking my questions.
Andrew Lane: Yeah. Thank you, Vaib.
Operator: Our next question comes from the line of Nathan Jones with Stifel. Please proceed with your question.
Nathan Jones: Good morning, everyone.
Andrew Lane: Good morning, Nathan.
Nathan Jones: I'm going to take a stab at seeing how much commentary I can get on the top line expectations here. You guys have a pretty good rule of thumb that net you generate about $0.10 of cash from operations of every dollar of decline in revenue, which would imply a 200 million of cash from ops about 2.8 billion of revenue in 2020, down about 25% for the rest of the year, given where the comps are, I would say that's probably worse in 2Q and 3Q and better in 4Q. Maybe you could just comment if that's a reasonable framework for thinking about the way you guys are thinking about the business at the moment and then any commentary on which stage this should be worse, which stage this should be better.
Andrew Lane: Yeah, Nathan, let me start and see if Kelly wants to add anything, but I mean, it's reasonable approach. We look at it a little differently. We start with the major customers. And so when you look at our top 25 customers that make up 55% of our revenue, we really start there and look at the spending levels. Chevron and Shell, our top two customers, Exxon Mobil, BP, what these customers are going to spend and we were very pleased with that total. So we start there. When we look at the revenue base and then I would say – so if you think about it, some projections for overall spending are down more like 35%, 40% for North America. But the majors are down more like 20% and so that equates to more of our weighting for the major customers. We're going to see the biggest slowdown in upstream. We feel confident about that and powered by midstream, with probably less than half of the slowdown in downstream and industrial and flat kind of from gas utilities, which is a bright spot for us. And the way Nathan I think about the direct impact in shale, if you look at our earnings release, you take the US upstream business and the US midstream business versus our total revenue and they're roughly 30%, 31% of our revenue. So the direct impact, which I'm not sure everyone thinks about that way, that's how I think about our business. Our direct revenue impact to the US shale spending levels is roughly 30% of our total revenue. So that could be hit pretty hard, directly, but it's not more than that. And so downstream industrial, our gas utility, our international and Canada business all will hold up a little better than the US that segment, so that's how we look at it and I wish we could give more color. We usually would have given an update on annual guidance at this point, but we just can't, we just don't have good visibility on that.
Nathan Jones: Yeah, I understand that. It's pretty opaque on the outlook at the moment. One comment, I was interested that you made that – yeah, it's fairly obvious that customers looking to save money in this environment. I think one way that customers could go about looking to save money in this environment is to consolidate their spend, which would certainly be an opportunity for you guys to take market share. Have you seen customers coming out looking to trade volume per pricing, where you guys might be able to pick up market share or anything like that that you're seeing going on in the market more than would be typical?
Andrew Lane: Yeah, Nathan, that's exactly right. And that's exactly what's happening. And it happened in – as I said before, we gain share in these downturns because the smaller players are impacted more on the lack of revenue. They're impacted on their ability to borrow if they need to and so in '09 and '10, we picked up share. In '15 and '16 we picked up share and here in '19 and '20, we're going to pick up share again. It is placed to our strengths and that's one of the big negotiation we have because we're centered on these long-term framework, enterprise framework agreements and multi-year agreements. So if customers want a better price from us, we have to have more volume. So that's the lever we pulled, we look for alternative sources to get them a cheaper product, if they trade off some quality aspects, but the much bigger lever for them is to consolidate more their spend with us, which brings more volume through our fixed cost structure and we can give them a better price. So absolutely, it's happened and it's happened in every down cycle. And we expect that to be the bulk of our discussions with customers here in the second and third quarter of '20 as they look to save money and operating expense and we look to gain market share during this downturn.
Nathan Jones: And then just one last one on pricing I guess in the short-term because on the flip side of what we were just talking about there, you have those smaller guys looking to liquidate inventory, looking to maximize their cash flow out of this. Are you seeing any of the smaller competitors here cutting price in order to liquidate their inventory that's putting any pressure on your pricing at the moment?
Andrew Lane: Yes, Nathan that's another aspect that's actually exactly right. They get in a crunch now and their survival mode is just to liquidate inventories completely or at whatever price they get. We've seen most of that activity happening in line pipe with the pipe only type of companies – pipe only distributors, but we see it also in the upstream regional players with some smaller kind of general products type of distributors. And so in the short-term that will put some pressure on pricing. Yeah, you're exactly right. But I think we offset that with maybe longer term gains from the market share that will position us as things get better, but there will be some of that aspect in the short-term.
Nathan Jones: Do you see that more in commodity kind of product and less in the valve business?
Andrew Lane: Yes, we see it in the commodity general products, generally used businesses as the biggest thing, the low dollar more transactional type business. We see it in line pipe when you get into a deflationary mode like Kelly was talking about in his comments, which we see happening. You get people trying to liquidate pipe as quick as they can, carbon pipe I'm talking about. You do not see it in valves, stainless, we do not see it in gas products, in the other areas were more of a longer term – you got a long-term lead time. We're not – we're certainly not going to yield on pricing on valve when the supply chain in valves could be so disrupted where you have a valuable asset and inventory that we've been able to procure and continue to run the global supply chain in valves. So the pricing pressures that come are going to come there.
Nathan Jones: That's very helpful. Thanks very much.
Andrew Lane: Thank you, Nathan.
Operator: Our next question comes from the line of Jon Hunter with Cowen and Company. Please proceed with your question.
Jon Hunter: Hey, good morning, and thanks for taking my questions.
Andrew Lane: Good morning Jon.
Jon Hunter: So I had I had one on just kind of that. Good morning. Yeah. So I was on the outlook for revenues in the second quarter. We've heard a lot of OFS companies talk about US E&P spending down 50% and international down anywhere from 10% to 15%. But that's mainly directed on the upstream side. So first, I'm curious if you'd agree with that and then how does your midstream and downstream business look with respect to those declines?
Andrew Lane: Yeah, I agree with that level of cutting in the upstream essentially US upstream as we talked about. I think that that can definitely happen and just let me give you a little color on the Permian. If we look at our first quarter on the Permian Basin upstream, which is of course, our largest upstream business in the world, the upstream portion of that was down 43% from a year ago, so very much in what you're talking about 40% to 50% lower CapEx spend in the US upstream, heavily weighted towards the Permian, but also the other shale basins. Our midstream Permian business was up 5% because we still have some pipeline projects going from the – it seems like a lifetime ago, but from the year ago where we had to take away capacity limitations, so that held up a little better. And so that's very typical. So we will see the biggest impact, of course in the US upstream spending, like the oilfield service guys, but less impact in the mainstream. But some downstream would be what we said really half the impact of the up and mid and gas utility essentially no impact with a flat outlook there.
Jon Hunter: That's helpful. Thanks. And then my other question is just on underlying decrementals to expect in the second quarter. I mean, historically, they've been as high as 30%, both on the decremental and incremental side. So thinking about that from kind of your underlying business and then with respect to the 80 million of cost cuts, how much of that should we be expecting to hit in the second quarter and the third quarter? Thank you.
Kelly Youngblood: Yeah, Jon, so let me let me kind of explain. In Q2 – and I'll get your – the answer here in just a second. But Q2, we'll be incurring a restructuring charge. We've kind of touched on some of the things we're doing with headcount reductions, we're taking kind of a fresh look at inventory that we talked about, there'll probably be some top end adjustments to some of the ageing inventory we have out there, we're closing facilities. So there's going to be cost associated and maybe cancelling leases and things like that. So if you're including all of that it's going to be a sizable charge will take in the second quarter. But if you normalize for that and kind of look at just a normal drop off, I think it was in our scripted comments that typically we see kind of 15% decrementals over time. I think because of the kind of rapid drop off that Andy talked about here in Q2 that we're already seeing in the month of April. It'll probably be north of that from a decremental perspective. But we've got one month under our belt, it's moving very rapidly. So it's hard to give any further guidance at this point than that, but I think it will be steeper than the 15% once you back out the restructuring charges that we'll be taking.
Jon Hunter: Got it, thank you and then how much of the cost cut benefit do you expect to hit in the second quarter?
Kelly Youngblood: Yeah, so really the majority of it, most of the headcount reductions, but there's still a few moving pieces. We've offered a kind of voluntary retirement program to our employees right now. We're waiting to get – see who elects to take advantage of that. We talked about closing 14 locations between Q2 and Q3, 11 of those are targeted right now to close in the second quarter with three hitting in the third quarter. So the largest majority of the hit, we expect to take place here in Q2, you'll have a little bit of a trickle-down effect into the third quarter. But it'll help, I think the largest improvement if you will to your run rate, starting more in the third quarter. We'll have a reduction in the second quarter. But if you think about it, we're almost in May right now. It's going to take us a few weeks more or month to kind of make some of these changes. So you really only get kind of a one month improvement in the second quarter, but Q3 will be a lot more meaningful.
Andrew Lane: Yeah, Jon, let me just add comments to Kelly, the comments there. If you think about it, we average SG&A on a quarterly basis, 137 million last year. We had 126 million run rate, we had done a lot in November, December to position the company for this year. And we're doing a lot more because of the COVID-19 impact. But you look at the 126 million, we had 6 million of bad debt, which is not normal charge for us, there was – and Kelly's comments said the half of it was from a bankruptcy, Southland Royalty and Whiting Petroleum receivables on those two. So if you look at 120 million as the actual run rate there on the first quarter in Kelly's comments that we expect to be at or below 115 million by the fourth quarter. You can see kind of the range we're going to operate in next couple of quarters, and those numbers are ex the onetime charges that Kelly's talking about, the restructuring, personnel, lease and inventory charges we might take.
Jon Hunter: Great, thank you. I'll turn it back.
Andrew Lane: Okay, Jon. Thank you.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Monica Broughton: Thank you for joining us today and for your interest in MRC Global. We look forward to having you join us on our second quarter conference call in August. Have a good day. Good bye.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.